Unidentified Company Representative: Good morning, ladies and gentlemen, and to those viewing via the webcast. A very warm welcome to SGX Group's FY 2025 Full Year Results Briefing. We will begin today's session with a presentation of our financial results by our CFO, Mr. Daniel Koh. Following that, our CEO, Mr. Loh Boon Chye, will share the business updates. We will conclude with a question-and-answer session later on with SGX Senior Management. Please wait for the microphone to reach you and do identify yourself before you ask any questions. It is now my pleasure to invite Daniel up on stage to present the financial results. Dan, please.
Kok Yu Koh: Good morning, everyone, and thank you for joining us today. It is a pleasure to share with you SGX Group's FY '25 financial highlights of what has been a remarkable year of growth and momentum. As we celebrate our 25th anniversary this year, I'm glad to present a very strong set of results. Our multi-asset strategy has enabled us to achieve the highest revenue and net profit since listing. We delivered strong and sustained business growth across all operating segments, reinforcing SGX's position as a trusted multi-asset platform for clients raising capital, seeking investment opportunities and managing risks. Revenues of equities cash, effectively our stock exchange, surged by 19%, driven by robust investor interest and increased investment flows. Our derivatives franchise achieved robust growth with the highest-ever annual volumes in FX, commodities and China A50 index futures. One in 5 derivative contracts is now traded in the T+1 session, which is a clear testament to our global appeal and almost round-the-clock accessibility. SGX FX, which is our OTC FX business delivered solid performance with the year-on-year ADV growth outpacing peer exchanges. We continue to drive growth through disciplined capital allocation. The Board has proposed raising the final quarterly dividend to $0.105 per share, up 17% year-on-year. This leads to a 9% increase in our FY '25 total dividend, up $0.03 to $0.375 per share. Furthermore, given our confidence in the group's long-term sustained prospects, the Board proposed a steady dividend increase of $0.0025 every quarter from FY '26 to FY '28, which I will elaborate on subsequently. First, let's look at some highlights of FY '25. Group net revenue increased by 11.7% to $1,298 million, driven by broad-based growth across all operating segments. Group expenses on an adjusted basis increased by 1.6%, while adjusted group NPAT has increased 15.9% to $610 million. Our margins also grew with adjusted operating profit margin and adjusted NPAT margin improving by 4.2 points and 1.7 points, respectively. As mentioned earlier, top line growth was broad-based with highest contributions from cash equities, derivatives and SGX FX. Our Equities cash segment delivered impressive growth, fueled by strong investor enthusiasm as the STI posted a 19% 1-year return, outperforming other regional benchmark indices. Net revenue increased by $62 million or 19%. And SDAV increased 26.5% to $1.34 billion, the highest in 4 years with year-on-year growth outperforming our ASEAN peers. This performance was supported by increased investment flows from both institutional and retail investors into all segments, including index stocks, REITs and small and mid-caps. Our derivative franchise achieved several record volumes across currencies, commodities and equities, driven by our focused efforts in expanding client coverage and deepening liquidity. SGX remains the primary venue for global investors seeking exposure across Asia's dynamic markets. Total net revenue from our derivatives suite grew $44 million or 9%, driven by 17.2% growth in derivatives daily average volume across all asset classes. The growth was also supported by our efforts in expanding client participation in the T+1 session and driving cross-selling. Our SGX FX business continued its strong momentum. Net revenue grew $23 million or 25%, with average daily volumes increasing by 28% to USD 143 billion. This was fueled by our continued efforts to expand and deepen our client base across both buy-side and sell-side segments. The business contributed around 5% to group EBITDA for the full year compared to 3% a year ago on improved operating leverage. Let me now elaborate on the group's net revenue performance across our 4 operating segments. Our FICC segment grew $25 million or 8.6% and accounted for 25% of total revenue. I had touched on OTC FX earlier. For the Exchange Traded currency segment, we remain as Asia's largest regulated currency futures exchange by volume and number of product offerings. These contracts hit record monthly volumes several times during the financial year, reflecting strong market demand and the effectiveness of our platform supporting clients in managing their currency risk. For the Commodities segment, the increase in revenue was diversified across iron ore, rubber and petrochemical contracts. The equities cash revenue growth was driven by the higher SDAV mentioned earlier and higher average clearing fees. The segment grew $62 million and contributed 30% to our total revenue. Equity derivatives revenue increased by $42 million or 13.8%, driven mainly by the volume increase in our flagship FTSE China A50 and GIFT Nifty future contracts. This segment contributed 27% of total revenue. Platform and others revenue increased by $7 million or 3%, primarily due to higher colocation sales and repricing of data and connectivity services. This segment accounted for 18% of total revenue. Moving to adjusted expenses, our focused cost discipline with 1.6% increase year-on-year or $9 million will enable greater flexibility for investments in FY '26. Staff costs increased by $9 million or 3%, primarily due to higher variable bonus provision in line with higher profitability. Technology expenses, depreciation, amortization and others were comparable year-on-year. Adjusted expenses at $12 million lower than reported expenses because this excludes the amortization of intangible assets and onetime fees. Adjusted earnings reflect our underlying core performance by excluding noncash adjustments and one-off items, which I will further elaborate upon. First is a net fair value gain of $48 million, mainly from our investment in a private equity fund managed by 7RIDGE, which holds the company Trading Technologies. The fund entered into a binding agreement to sell TT on 24th July '25. The transaction is expected to complete upon fulfillment of conditions required. Our investment is recorded at fair value. Second, we took an $8 million impairment of purchased intangibles and the associated companies due to underperformance. Given the noncash nature, these are removed here for the purpose of adjusted earnings. Third, we recognized a one-off gain of $8 million on the sale of our financial investment in the Philippines Dealing System, which we had already announced in the first half '25 results. Finally, we had a further adjustment of $10 million from the same items I mentioned in the adjusted expenses. Our balance sheet is robust, positioning us well to pursue future growth opportunities and deliver returns to shareholders. Gross debt decreased $40 million due to firstly, U.S. dollar bond revaluation as the U.S. dollar depreciated and secondly, lower lease liabilities. Our leverage ratio remains at a low level of 0.8x and interest coverage ratio decreased from -- decreased to 54x from 77x as explained in our first half results on the higher interest expense upon refinancing. Our strong balance sheet is a testament to our financial discipline and resilient operating model. Let me now focus on our capital management principles. How we strategically deploy resources to fuel organic growth, future proof our business and deliver sustainable shareholder returns. Our top priority remains driving top line organic growth. With a medium-term revenue growth target of 6% to 8%, we are actively reinvesting in product innovation, sales capabilities and technology to improve our clients' trading experiences and expand our market reach. In line with this growth ambition, FY '26 expenses are expected to rise by 4% to 6%, consistent with our guidance for low to mid- single-digit percent increase over the medium term. Beyond organic growth, we will invest strategically to future-proof our business and sharpen our competitive edge through modernizing our technology infrastructure for scalability, resilience and innovation. As previously guided, CapEx investment will be kept at 7% of operating revenue over a cycle. In FY '26, we expect to invest $90 million to $95 million in CapEx spending. In M&A, we continue to explore value-accretive bolt- on acquisitions that complement SGX' core strengths. Last but not least, delivering sustainable and growing returns to shareholders remains a cornerstone of our capital management approach. We are committed to total shareholder return while delivering sustainable dividend growth. Given our strong performance this year and reflecting positive growth momentum, the Board is pleased to propose an increase in dividends this year and a continued step-up in the next 3 years. The Board has proposed raising the final quarter's dividend by $0.015 to $0.105 per share, subject to shareholder approval at the AGM. This marks a 16.7% annualized increase, reflecting the strong earnings growth this year. Total dividends for FY '25 will be $0.375 per share, up 8.7% from FY '24. We are also pleased to announce a steady dividend increase of $0.0025 every quarter from FY '26 to FY '28, subject to earnings growth. The chart on the right illustrates how we will continue rewarding shareholders who will enjoy the $0.07 increase and then $0.04 increase in the following years. Our revised dividend proposal underscores our commitment to value creation and disciplined financial stewardship. Thank you for your continued trust and support. With that, let me now hand over to Boon Chye, our CEO, who will deliver the strategic business updates. Thank you.
Boon Chye Loh: Good morning, everyone. Thank you for joining us this morning. FY 2025 was a defining year for SGX, marked by our strongest performance on record. We achieved our highest-ever revenue and net profit with broad-based growth across all operating segments. This performance was driven by disciplined execution of our multi-asset strategy, deeper client engagement and targeted innovation across our product shelf. Our results reflect not just operational performance, but the increasing relevance and resilience of our platform. They underscore our growing global connectivity and reinforce our position as Asia's trusted international multi-asset exchange. Let me begin with some highlights from the year. A key driver of our success was our responsiveness in helping global clients navigate a dynamic operating environment. As trade tariffs and geopolitical changes reshape investment flows, our clients turn to our highly liquid solutions to manage volatility and seize opportunities across Asia. Against this backdrop, our derivatives daily average volume or DDAB grew 17% year-on-year to 1.3 million contracts. Volumes traded during our overnight T+1 session grew at an even faster pace of 36%, reflecting the increasing usage of our products by global participants. Over the past 2 years, our T+1 volumes have grown at a CAGR of 23%, underscoring our role as a around-the-clock liquidity hub for global investors. The continued growth in our T+1 activity reflects our active engagement with the broader client base in the West and beyond Asia. Through our conversations with clients, it was clear that they needed to respond swiftly to global market developments and manage risks more effectively. To support this need, we enhanced trading continuity and intraday liquidity by narrowing the gap between T and T+1 sessions for equity derivatives. As a result, our clients now benefit from 15 more minutes of continuous trading in T+1 session, a meaningful enhancement, especially in volatile market conditions. Our client-centric approach is delivering results. This has been instrumental in broadening product adoption across our multi-asset suite. Moving away from the supply side of our derivative suite, let me now give some highlights on the demand side. In FY 2025, through effective client engagement, 6% of our direct trading accounts added at least 1 more asset class to their portfolio, a sign of growing confidence in our offerings. This growth highlights the tangible value clients gain from trading multiple products with us, supported by platform-wide margin offsets and capital efficiencies, which help them optimize capital and diversify seamlessly on a single platform. Our cross-selling efforts have resonated strongly with clients who value synergies across asset classes. This is especially evident in our flagship China and India product suites as investors seek broader exposure to Asia's largest emerging markets. We intensify our push on China team products, leading to increased adoption of our CNH and INR products alongside our A50 product. Similarly, adoption of our India suite has strengthened with more clients trading both our GIFT Nifty and Indian rupee contracts. In FY 2025, trading volumes from both the U.S. and Asia rose meaningfully. This reflects not just macro capital flow trends, but also the strength of our global distribution and client relationships. Our client engagement efforts have also been successful in OTC FX business, where our global reach has expanded to 12 cities and over 200 institutional clients with increased client adoption and participation, coupled with new product development, average daily volumes for OTC FX rose 28% to USD 143 billion, the fastest year-on-year growth amongst peer exchanges. SGX FX is now amongst the top 3 exchange-backed OTC FX venues by volume, a significant achievement in a relatively short span of time. As a result, OTC FX net revenue rose 25%, whilst its contribution to group EBITDA increased from 3% to 5%, reflecting improved operating leverage, while staying ahead of the curve by delivering unique access to multi-asset liquidity, advanced trading workflows and proprietary data and analytics tool for institutional FX clients. The spirit of product innovation is central to our strategy across our businesses. We are focused on expanding our products with targeted solutions that capture new opportunities. In derivatives, our latest addition was the launch of the Brazilian Real Futures in partnership with B3, marking our first emerging market currency futures outside of Asia. The product has seen healthy traction. In the first month of launch, we hit a peak of 38,000 lots traded in a single day. With competitive spreads, we hold majority of the market share during Asian hours. The Brazilian Real Futures provide investors with efficient exposure to commodity-linked strategies. The product also unlocks cross-selling opportunities via the Brazil-China trade corridor and uniquely addresses the liquidity gap for investors in Asia and Europe during Brazilian aftermarket hours. We also expanded our Pan-Asia Index suite with the launch of the Micro FTSE Taiwan Index Futures contract. This was designed for investors seeking more precise exposure and cost-efficient access to the Taiwan's equity market, a market that has seen heightened activity on the back of structural demand for AI and digitalization. While it is still early days, this launch reflects our responsiveness to emerging investor needs for more granular thematic access point. We've seen an uptick in volume with June DAV hitting almost 2,000 lots and a single day high of over 10,000 lots. Lastly, turning to cash equities, another segment that performed strongly in FY 2025. Cash equities contributed 45% of our overall revenue growth this year. SDAV rose 27% year-on-year to $1.34 billion, the highest in 4 years, outpacing our regional peers. Through our efforts to deepen market participation and the tailwinds from the MAS equity review group to boost buoyancy, we've started to see a significant improvement in stock market liquidity and volumes, not just in the index stocks but also in the small and mid-caps. At the same time, we have been curating a diverse product shell that enables investors to diversify their portfolios across asset classes, geographies and teams. For example, we added more names to our Singapore deposit receipt suite, enabling investors to implement varied strategies and achieve portfolio diversifications across more regions. We have also expanded our ETF shell to help investors tap into different opportunity sets in Asia. Overall, our ETF market demonstrated strong growth with AUM crossing $14 billion for the first time, a 32% year-on-year increase. Turnover rose 47%, reflecting sustained investor interest and the growing adoption of ETFs as a vehicle for regional diversification. These developments highlight our commitment to innovation and our ability to respond to evolving needs of investors across Asia. Our multi-asset strategy shaped and sharpened over the years remains a key pillar of our growth. It has powered our growth and will sustain our medium-term momentum. We enter FY 2026 with readiness and a clear growth agenda. Our strategy is anchored on a resilient multi-asset business model, which has proven to capture growth opportunities across market cycles. While market conditions may stabilize following the earlier economic uncertainty and volatility, capital flows into Asia are likely to remain strong, and we are well positioned to capitalize on this across regions and products. Let me unpack how we intend to deliver on our medium-term revenue guidance of 6% to 8% CAGR, excluding treasury income. First, we'll build on the upward trajectory of our OTC FX and derivatives business, while on track to achieve low to mid-teens percentage growth in the OTC FX business with a mid- to high single-digit percentage to group EBITDA contribution. This growth will be driven by enhancing technological functionalities, developing new products and expanding our proprietary trading algorithms and strategies across multi third-party platforms to strengthen our order management capabilities, with our focus on product innovation, sales capabilities and technological enhancement, we are in a strong position to increase platform adoption across both buy and sell- side clients. Second, we will strengthen the network effect of our core derivatives business. The breadth and depth of our ecosystem, along with the cross-asset synergies of our offerings allow us to scale efficiently through client acquisition and distribution. We will strategically expand our product shelf by advancing our China and India corridors, broadening access across ASEAN 2 and also other emerging markets. Additionally, we'll continue to pioneer new asset classes to solidify our position globally. Third, we are accelerating the momentum in our cash equity business. Even as our STI hits new highs, we are deepening our product shelf with more innovative products, including exploring the development of new categories of structured products. Our IPO pipeline is also at its strongest in years. On top of this momentum, the MAS equity market review group serves as a powerful tailwind and catalyst. The renewed focus on Singapore equities has been positive as the review group initiatives are progressively rolled out, we look forward to the measures laying a stronger foundation for our stock market to grow sustainably. Looking ahead, we will continue to build out a high-quality, multi-asset product shelf, identifying opportunities across asset classes, geographies and teams. With a focused sales strategy and targeted client acquisition efforts extending beyond Asia, we're well positioned to deepen client partnerships and grow our global footprint. Finally, to complement our organic growth, we will explore opportunistic investments, including bolt-on acquisitions that are strategically aligned and value accretive to the group. For our growth to be sustainable, we are concurrently strengthening our platforms through operational excellence to ensure resilience and reliability, scalable technology to support growth for ourselves and our clients and advanced data and analytics to develop value-added services. Overall, these investments will create a future-ready infrastructure to support our multi-asset global expansion. Even as we actively invest to drive sustainable growth, we will manage our expenses with discipline. We are confident of our ability to deliver exceptional and long-term value to our shareholders. Like Dan mentioned, we propose to steadily increase dividends by $0.0025 every quarter from FY 2026 to FY 2028, subject to earnings. This reflects our commitment in delivering sustained earnings through advancing our multi-asset strategy. In closing, FY 2025 was a milestone year for SGX Group. Our multi-asset strategy is delivering, and the foundation is strong for our next phase of growth. We will grow with discipline, innovate with purpose and execute with clarity, always focus on delivering long- term value to our clients, shareholders and the broader financial ecosystem. Thank you very much. And my colleagues and I will now take questions both through our guests in person here and those online. Thank you.
Nicholas Lord: And 2 questions for me. The first is just on your dividend. And I think investors will appreciate the clarity on the trajectory there. And you talked about it being subject to earnings. So I just wonder if you could give us a little bit more clarity on that. Is there an upper range of what you would accept in terms of dividend payout ratio? Do you think about it in terms of earnings? Or do you think about it in terms of cash flow per share? So just trying to get a sense of what would need to happen to earnings to not hit that trajectory? And then my second question is just on sort of the broader strategy thing. A lot of interesting themes you sort of brought up there. But we're seeing this dedollarization trade. We're seeing diversification. I just wonder if you could talk a little bit about what opportunities you see for the group from that over the next 2 or 3 years.
Boon Chye Loh: Yes. So thank you, Nick. On your first question, first, our balance sheet is strong. We want to take a very disciplined approach to capital allocation. The medium-term guidance of 6% to 8% revenue growth as I unpack that in terms of accelerating the growth in our OTC FX business alongside our derivatives business. At the same time, you mentioned the equity markets review group. We've clearly seen positive momentum into the stock market. In particular, institutional and retail flows into the mid-cap stocks, our index stocks, our REITs has always traded very well. What has obviously changed is the mid-cap stocks. And on top of that, you also mentioned in there, clearly, there is shifting investment capital flows. We're seeing that. Our business model, multi-asset strategy is a beneficiary of that. More of our customers are adding more asset classes to their portfolio. And we look at this alongside of our clear growth agenda. Volumes in July has continued along similar trajectory. We will release our July stats next Monday. So the strong balance sheet, disciplined allocation and our clear growth agenda give us confidence of giving the FY '26 to '28 dividend guidance. Your second question was around the equity market review group and what flows we see or the dedollar -- yes.
Kok Yu Koh: Yes. So maybe Boon Chye can add to the dividend story. Can you hear me? Yes. So look, thanks for the question, Nick. We do look at total shareholder return. So focus not so much on yield and payout ratio, right? I'm -- we are a listed company, right? We do need to put that caveat in there because we do need to go to our Board. We are confident in our ability to deliver the step-up in dividends, but in this day and age, who knows what will happen, right? I mean, we hit another COVID situation and all that. We always need to have the caveat in there, but we're confident in our ability to deliver the dividend growth.
Boon Chye Loh: Your second question on opportunities in the shift in global macro, many for the group. First, the diversification team clearly that suits -- reinforces our multi-asset strategy. We have seen flows moving between different asset classes, adding more asset classes for diversification. Clearly seen an increase in our T+1 session, and then the round-the-clock liquidity and then alongside with our very liquid FX futures and OTC FX business, it just allows investors to think about other currencies to put their investments into. So we're optimistic that in this shifting environment, there would be opportunities that we can capture. And part of the strength of the SGX Group is our responsiveness to trends and importantly, clients demand requirements and looking alongside with our clients.
Hsien-Min Syn: So this is not going to be new to us in some sense because we spend a lot of time trying to think around the corner. And the example I would use is the CNH contract. At the time of design, we made the observations that one day, somebody needs to be the largest RMB CCP in the world. Nobody had done RMB clearing and somebody has to acknowledge that RMB is not admissible on CLS. You can't net with dollars. So that was the design criteria for our contract 10 years ago. And that's why today, it's the #1 contract. So we think very, very hard about tooling and instrumentation needs, and we think very, very hard about price discovery and then risk transfer. So an example that we just saw overnight is the price of the kilo bar of gold. There's a locational price -- and we've always thought very, very acutely about what is the locational price and what is the role of Singapore Exchange in offering an incremental piece of price discovery and risk transfer. And that will hold true across our software stack as well as our product design and our clearinghouse design.
Yao Loong Ng: Maybe I'll just provide a data point. I think it is in relation to our cash market. So if you look at our ETF suites, we have about 12 ETFs that hold Singapore underlying assets. This could be STI stocks. It could be the government corporate bonds and then SREITs. They're about 40% of our AUM. And if I look at it, of the net inflows year-to-date, close to about -- just above $700 million, which is substantial. And it's quite even in the sense that about $300 million went to the STI, the 2 STI ETFs, another $350 million to our fixed income, the Sing dollar fixed income. So I think that reflects somewhat the investor appetite. And I think market observations is that Sing dollar is a safe haven currency, a place where you can -- where it's predictable and where you can get attractive risk-adjusted returns. I think that's been reflected what I've seen in the stock market in the last 7 months or so.
Thilan Wickramasinghe: Thilan from Maybank. I've got 2 questions. The first one is you said you're optimistic about your IPO pipeline. Maybe if you can give us a little bit more color on what you're seeing in terms of what the pipeline is looking like sectors and some sort of timing and things like that. So that's my first question. The second question is, when I look at your equity derivatives revenue business, that's actually come off in terms of momentum in the second half versus the first half. It's grown about 6%, in the second half. It was about 20% in the first half. Is that more to do with overall markets coming back to mean? Or are you seeing some pressure in terms of your market share in some of the derivatives? Because I noticed the 225 is down quite a bit. The SiMSCI is down quite a bit as well. So I just want to get some color there.
Pol de Win: So yes, on the first one, and Boon Chye mentioned this, we're certainly much more positive about the outlook for the IPO pipeline. I know we've said that before in recent years, but some important things have changed. First, it's good to say this now on the back of a number of good deals that we saw in the past month. So with the NTT Data Center REIT IPO that was the largest IPO in a decade for us. It's also diversifying that REIT offering of us into the digital infrastructure space. Infotech Systems IPO on main board of a technology business, SaaS business. We had Lum Chang Creations on the Catalist Board, which has performed incredibly well post listing, so good momentum behind it. And with China Medical System last month, we have a secondary listing of a sizable biotech life sciences business. All of this is, of course, coming on the back of a number of these factors that Boon Chye already mentioned, the market is up, trading is up, not just in the STI index, but also in the smaller and mid-cap segment below it. I would also say that Asia, Singapore is benefiting from some diversification in global investment portfolios, and that's resulting into inflows that we're seeing in the region here. And of course, also the effects of the equity markets review group measures that are coming through, the EQDP deployment around the corner. All of these things are, of course, important. I would say there is definitely also more of a risk-on approach amongst investors that we're seeing, more confidence around the rates outlook, more confidence around growth. So that sets up well for what we are seeing in our pipeline, and that comes to the confidence. Maybe to be a little bit more specific around that. We define the pipeline as companies that we know are working on a listing in Singapore. So they've hired advisers, have started the preparatory work. There are more than 30 companies in our pipeline, and that's sort of the visibility that we have. Of course, there is many more companies beyond that, that are still contemplating and sort of looking at the environment. I would say these companies are nicely split equally between main board companies and Catalist companies. So there's a spectrum of sizes. And in terms of sectors, I would say, also nicely diverse. And I think we'll see more of what we saw in the last month where we see different types of businesses come to market. So with that, more confidence, a good number of those companies are already in discussions with RegCo, including those that have already put in their docks.
Hsien-Min Syn: On your second question, half on half. Total EQD volume has tapered off a little. There's nothing that we've seen that makes us feel that this wholesale structural change in strategic asset allocation has tailed off. In fact, new themes, which are hard to address are being addressed to us all the time. So last year, it was emerging markets, minus China. This year, it's world minus U.S. Europe, minus U.K. There's an infinite number of variations. And in fact, the thing that we're missing because our proposition always has been total waterfront, total portfolio, equity and currency risk premium. We're already having to think about the next 20, 30, 40 equity risk premium products that help fill in the shelf and how to deliver that to the customer. So the specific ones that you cited, 225 and SiMSCI, the realized vol has come off, but then there's a lot more demand for H50, A50 and India.
Boon Chye Loh: Shifting amongst countries within equity derivatives, but also shifting amongst asset classes. Half on half, a slight dip. As Michael explained, we saw that into commodities. So I think our multi-asset allows us to ride through the shifting investment flows that managers have.
Kok Yu Koh: Maybe I could add to that, right? In terms of market share, in terms of flagship products, the China 50 and Nifty, we're there. We're quite comfortable with our market share, right? The metabolic rate is still high. It will vary according to episodic issues. But actually, a key component is the number of trading days in the second half. It was dramatically lower than the first half.
Boon Chye Loh: We should take 2 questions from those dialing in.
Unidentified Company Representative: So maybe I will combine the questions on dividends. One is from Jayden of Macquarie. Why not do more now and the FY '25 payout ratio is 62% relative to earnings and planned step-up is to $0.525 to -- in FY '28. So why not do now? The next question related to dividends from Gurpreet of Goldman Sachs. Thanks for the presentation. Good to see the raised dividend per share guidance. How does management now think about balancing shareholder returns and bolt-on acquisitions? It seems relative to the consensus earnings. 75% to 80% will be paid out as dividends. Are you not actively looking at targets to add on capabilities?
Boon Chye Loh: Let me try and take both in a combined way, and then feel free to add in. Why not now? We look at this on a sustainable long-term growth. And our aim is to really deliver growth to our stakeholders, our shareholders over medium to long term. And we want to balance that, not just investing in our core businesses. We balance that also with returning capital in the form of a guidance over the next few years. But also, we're looking to grow where there may be opportunities that we could do bolt-on acquisition. The next question may come, how are you going to fund that and how you look at your trajectory in the dividend. Our strong balance sheet and cash flow allows us to look at value-accretive opportunities if we can bolt on to what we have. And I think FY '25 has clearly demonstrated that the multi-asset strategy that we have talked about for years is now coming true in an environment like that. And it's not just FY '25. We've seen short parts of that in '23 and '24. And we don't look at this on a payout ratio. And I think moving from our mid-single-digit guidance that we did a year ago, we hope this gives our shareholders better clarity on the forward trajectory.
Kok Yu Koh: Yes. So just to add to that, right? Our investors are looking at us as a dividend kind of growth stock, right? Many of our investors are telling us we are invested in you for growth, right? So we always have to balance that out with regards to enhancing shareholder return, but also investing in sustainable growth, right? And what does that mean? So as Boon Chye mentioned, organic growth and strategic growth opportunities, bolt-ons and all that. The thing I would say is the strong results this year has given us a platform and given us optionality with regards to how we can be funding any potential bolt-on opportunities.
Boon Chye Loh: Maybe to those of you here. Harsh and then after that. We'll come to you next. Yes, Harsh.
Harsh Wardhan Modi: Harsh Modi from JPMorgan. Thanks for the dividend pickup, that's long-standing demand. On -- I just wanted to understand your thought process slightly better. Should we just factor in this as absolute guidance? Or is this the minimum you would pay? Or is this the maximum you would pay? That's slightly unclear when you say subject to earnings.
Boon Chye Loh: I'm sure you like surprises on the upside.
Harsh Wardhan Modi: Absolutely.
Boon Chye Loh: So that will be our response to you. Whether that's a guidance or minimum. I'm sure you like surprises on the upside, and that's what we'd like to aim for.
Harsh Wardhan Modi: No, that's good to know because if I think about payout ratio to some of the earlier questions, it's around mid-70s. And if I look at last 15 years, you have gone from 60% to 100% payout. So it seems there's an upside risk to it. So is it more dependent on M&A that if you can't find a good place to allocate capital, then potentially you can increase your payout from your current guidance part? Is that how we should think about it?
Boon Chye Loh: I think we can use the capital, if we were to look at inorganic growth we bolt-on, that's going to do one balancing about returning -- paying shareholders more. But even if we don't find those opportunities, there is still tremendous opportunities in our core business, and we'll invest in that. But obviously, the scale of those investments will probably be different versus organic and inorganic. And there, we're going to look at the timing. And with that, we always look at this in the medium term. If we don't need as much of those for organic, which we'll still continue to invest, we will return more.
Kok Yu Koh: Just to add, right, again, our investors are telling us, right? They look at total shareholder return. From a 1-year perspective, as judge against the June 30 share price, 1-year TSR is at 64%, 63%. 63%, 3 years, 74%, 5 years, 100%, right? So that's something we -- our investors are looking at. Not so much just the dividend for the particular quarter.
Harsh Wardhan Modi: Fair point. And the stock has been absolutely one of the best performers. Second question on the treasury income impact with much lower rates. Any quantification of how much would the low SORA and potentially dollar rate cuts impact your treasury income?
Boon Chye Loh: I wasn't trading before. So I'm not sure, given the gap in number of years, I'll let my CFO answer that.
Kok Yu Koh: Look, treasury income, again, as an ex trader, right? It's a function of 2 things, right? The collateral balances that we have in the interest rate environment. On the collateral balances that we have, in so far, as we're still seeing heightened activity, the margin look -- the interest rate environment, who knows, right? But we have factored that into our thinking. We have layered in accordingly. Yes, but it is a function of the market. So I can't give any more guidance than we are factoring in what the market is pricing it.
Harsh Wardhan Modi: No, that's fair. And exactly that's the thing that you have very solid volume growth, multiple sources of collateral, but rate decline has been quite brutal, right, across currencies, especially SORA. So as you put in the forward curve, on top line, how much of departure from the 6% to 8% growth should we expect year-on-year. Again, all else constant, I know we are not going to hold you to that number, but some sense of treasury income because it's a pretty meaningful shift.
Kok Yu Koh: Yes. Sorry, just to clarify, our 6% to 8% is ex treasury income, right? So treasury income is always going to be separate from that.
Boon Chye Loh: So what you're saying is what could subtract from that if your treasury income comes off, it's going to be a function of the yield curve, which is why we're guiding a 3-year ex TI. But then you could have the shape of the curve impacting positively or negatively in 1 year, it may reverse a little bit. So on the 3 years, we're looking at this a fairly averaging of how we think about potentially the curve.
Hsien-Min Syn: And Harsh, we're one of the world's largest yen clearing houses. It's not true to say that interest rates are coming down.
Boon Chye Loh: And then the efforts through Pol and his team globally, more collateral to distribution because more usage of our platform.
Jovi Ho: I'm Jovi from The Edge Singapore. Just my first question here, just asking for more color on the potential acquisitions. What types of markets or platforms do you think will help round out SGX's offering. Would any of these potentially help boost new equity listings or equity trading here?
Boon Chye Loh: So our commodities and maritime suite has clearly performed very well. There's lots of synergies in the freight indices via Baltic, which is also a global index provider in the maritime space now, coupled with bulk commodities that is traded cleared by SGX. That's clearly a space that we've seen in the shifting investment flows and how investors are looking at asset allocation. So that's one area that I think there could be good sectorial growth. And if there are areas we can look at to invest, we will look at it. On the equity market, we're clearly working closely with the ecosystem fund managers, whether they are going to be allocated part of the EQDP. What we're also seen is the inflow into the mid-cap stocks. And then not forgetting, obviously, the GEMS scheme right, working with product issuers, and we're going to look at introducing more products around that.
Jovi Ho: Just a second question here. With this strong set of results and the sense of confidence we're getting for potentially stronger years ahead, are we expecting higher staff costs in the form of higher bonus, higher pay for management?
Boon Chye Loh: It's actually great that our town hall is our internal staff. To answer your question, look, the variable staff cost is going to be a function of our performance. So it can grow with performance. It can come down, if performance isn't great. On fixed staff costs, we have shown that we've been able to be disciplined in our hiring. But more importantly, we're looking at workflow processes where our colleagues could take on more. So we want to manage the growth of the staffing by looking at exchange, how operating leverage will come through.
Unidentified Company Representative: Maybe one last question from online. Is there an update on the crypto perpetual contract? What sort of timing are we looking at? And how will this contribute to our revenues? It's from Marcus of CLSA.
Hsien-Min Syn: Okay. Thanks for the question, Marcus. I think we will probably want to wait another 6 months to give you a more thorough update. We've done a great deal of work. The timing is probably around year-end, subject to a number of things. The critical path is really about making sure that there is market readiness because while it comes across purely as a payload, which is crypto actually all the work is about the infrastructure required to deliver this new format. We're creating a new market category called the Perpetual Future, which doesn't really exist in the regulated future space. So a lot of the work we're doing is with customers, with intermediaries, with the post trade. And of course, with the OTC market participants that we're trying to crowd into our space. So the time line is, as I indicated. And once it's launched and goes live, I think we'll give you a more sort of fulsome update. But timing seems perpetuous. I mean just on the news flow in the past week.
Boon Chye Loh: Okay. Any other last question here?
Unidentified Analyst: I wanted to ask a question about the equity market review group. So like could you share a bit about how SGX is working? Because as Paul mentioned, there's over 30 companies in the pipeline. So by the end of this year, how many companies can we see listed on the SGX new listings, I mean? And if you could also share more details about how you're working with the review group.
Boon Chye Loh: Yes. So maybe I have Yao Loong and Boon Gin do, yes.
Yao Loong Ng: Yes. So the suite of measures that have been announced so far have been targeted in a couple of areas, right? So one would be in driving the demand side. And of course, we know the flagship $5 billion EQDP. So that has been a series of actions that have been taken, including selection of managers. And I think there will be an important constituent of the stock market, and we'll be working with them on a series of things, including how they intend to deploy, how they may support some of the IPOs and in also working with possibly companies. And we have seen the results of some of the large companies, large cap companies that have done well in capital management. They have done well in certain shareholder initiatives that have created value. So we think there is certain things that we can do in that area. And ultimately, if we can create more companies that have higher liquidity, a valuation that better reflects their intrinsic value. I think that's a win-win situation for both the investing side and also the issuers. There's also a bunch of measures around the regulations, which I think Boon Gin will touch on, trying to create that environment that's pro enterprise without compromising on the quality of investor protection. And then the third bit is about the product shelf that we have. So it's not just about the cash equities. It's not just about IPOs, but the products in the ETFs, the SDRs. We know that Singapore investors are sophisticated and they trade globally. Nick's report, which was a good report shows that 7% of Singapore's household financial portfolios, only 7% is in listed shares. OECD is probably about 2030. I did read the report. And half of what Singapore's portfolios are. And clearly, it's in overseas stocks. How do we bring some of this back? This could be in the form of ETFs, in the form of SDRs, we call it depository receipts. So there's a whole range of things that we will do. And then lastly, we will also be looking at the quality of our market structure. Just a hint, I think when we look at things like board lot sizes, some of our index stocks have done pretty well. It is -- there's a strong case to argue that we can make them more accessible to the wider public and to the -- especially to the robo portfolios and so on. So I think that will be something that we'll be taking action. And I think the EMRG will be looking at this and then announcing them as a package in due course. So I'm not going to preempt that.
Boon Gin Tan: Yes. I think it's important to look at the efforts of the review group holistically. So there's an enterprise part, which Yao Loong has covered. Then there is a regulatory part, which is meant to complement that, right? So the 2 parts are meant to complement each other. So if you look at what's happening in terms of the efforts of the enterprise group, they have created a lot more market discipline because we're going to see more institutional participation. We believe that this will raise standards across the board. And this will complement the efforts at the same time on the regulatory side to streamline the IPO process as well as move towards a disclosure- based regime, which is more in line with the international developed jurisdictions, right? So all these efforts complement each other. Without as Yao Loong said, compromising on our regulatory efforts. Surveillance will continue to be robust, whether it's trading surveillance or whether it's corporate surveillance. And we continue to be very committed in employing our most effective and targeted tools and making sure that we're fair orderly and transparent market.
Pol de Win: On your last question. I thought we already did a pretty good job to give you some sort of number and now you need to know when. So we can't say, right? So we're also subject to market circumstances, of course. I would say when we sort of think about the number of 30, it also links back to that the number of deals that we see happen in the market here before the downturn. So we have confidence that that's a sustainable number and something that we can grow on from there. Having said that, I think 2025 calendar year is still a bit of a transition year, right? The first half was still pretty quiet and pretty slow. We see globally IPO markets reopening. Will we continue to see more activity into the second half? Yes. But think about that number as something for the, I would say, medium -- for the medium term and a sustainable number. So as deals happen, we hope to see others that are -- as I said, there's plenty of others that are still considering their options, and we are in contact with them, and they will then get added to the pipeline as we get along.
Boon Chye Loh: Okay. Thank you all. Appreciate your presence and attendance. Thank you.